Operator: Thank you for standing by. My name is Erik, and I will be your conference operator today. At this time, I would like to welcome everyone to the Bullish Global Sector Quarter 2025 Earnings Call and Q&A. All lines have been placed on mute to prevent any background noise. After the speakers emerge, there will be a question-and-answer session. If you would like to ask a question during this time, simply press star, followed by the number one on your telephone keypad. If you would like to withdraw your question, press star one again. I would now like to turn the call over to Michael Fedele. Please go ahead. Michael Fedele: Good evening and welcome to our first ever quarterly earnings call as a public company. I'm Michael Fedele, Vice President of Finance, and I'm joined on today's call by our Chief Executive Officer, Tom Farley, Chief Financial Officer, David Bonanno, and Director of Corporate Development, Liam Foley. This call will contain forward-looking statements, including those relating to our expected performance and business opportunities. These statements are not assurances of future performance. They are subject to risks and uncertainties, and our actual results could differ materially. For more details on these risks, please refer to today's earnings press release and our SEC filings, including our prospectus dated August 12th, 2025. We undertake no obligation to update or revise any forward-looking statements. This call will also include a discussion of non-IFRS financial measures. A reconciliation of these metrics to the most directly comparable IFRS metrics can be found in our earnings press release and presentation, which also contain additional information regarding non-IFRS financial measures and key performance indicators. I'll now turn the call over to Tom. Tom Farley: Hello, I'm Tom Farley, the CEO and Chairman of Bullish. I'm joined by David Bonanno, our CFO. Thank you for joining us today on our first earnings call since going public. I expect to be a little longer-winded today in introducing myself and our company than in future sessions. I'm excited to discuss our results, but before I do, I want to spend some time highlighting my background, Bullish, our mission at Bullish, and why I'm so excited to lead this business going forward. By way of background, I've spent my career working in market infrastructure with exchanges and other regulated entities across multiple asset classes and several geographies. In all, I've been Chairman, CEO, and/or President now of 10 regulated exchange or related businesses. I've held various leadership positions at Intercontinental Exchange, the world's largest traditional financial exchange group by market cap, where I served as President of the New York Stock Exchange, introduced electronic trading to the New York Board of Trade, also as President, and completed multiple large-scale transformational M&A transactions. I know this market infrastructure business model well. My experience gives me a deep understanding of the amazing value that exchange businesses can offer our investors, and perhaps even more importantly, our customers, but also of all the opportunities to further push the envelope, go the extra mile, if you will, and drive innovation. For the past several years, I've been applying my learnings to make Bullish the premier institutional digital asset market infrastructure business in the world. Bullish is an institutionally focused business that operates globally and provides market infrastructure and information services that are designed to help institutions grow their businesses, empower individual investors, and drive the adoption of stablecoins, digital assets, and blockchain technology. We hold what I believe to be the foremost respected and difficult-to-attain crypto licenses in the world, from the European Union by way of Germany, from Hong Kong, the United Kingdom, and as of yesterday, New York State, the BitLicense. Although the growth in the digital asset space over the past decade has been staggering, institutional adoption has lagged behind. Looking ahead, we're excited by the continued opportunity in the digital asset space, and we're not alone. Industry analysts estimate that the crypto space will more than double in the coming years, and we expect this may prove to be conservative, and we expect that this growth will largely be on the back of institutional adoption. What's changed? Up until now, we believe the lack of institutional adoption owed largely to regulatory uncertainty. Things are indeed changing, however. We are seeing increasing regulatory clarity all over the world. Europe's MiCA regulations and Hong Kong's Aspire roadmap both add clarity. We are also quite optimistic with recent progress in the United States, including the adoption of the GENIUS Act, which defines stablecoin regulation, and the progress towards a broader adoption of a crypto market structure bill, which intends to formulate the first national regulatory framework for digital assets market infrastructure. We believe that this regulatory framework is not only exciting in the context of existing blockchain and crypto adoption, but could also plant the seeds for the large-scale transition of many traditional finance workstreams and markets to blockchain technology in the years to come. Turning to our business, Bullish operates two primary brands: the Bullish Exchange, which includes our exchange and related market infrastructure offerings, and CoinDesk, our information services offering. Our exchange and related market infrastructure solutions differentiate Bullish from other competitors through our suite of Tier 1 regulatory licenses, one global order book, unconflicted business model, predictable and consistent liquidity with tight spreads, and other areas of differentiation. We offer spot, perpetual futures, and dated futures trading, and we'll soon launch options at scale. We offer clearing and custody and more. Our calling card is deep liquidity in crypto's largest assets and at competitive low fees. Year to date, through August 2025, our exchange has facilitated more than $530 billion of total volume, including more than $485 billion in spot volume alone. We support trading from many different trading pairs, and we have established significant volume market share in Bitcoin, Ethereum, and stablecoins as compared to our identified peer set of regulated exchanges. Notably, none of our volume to date has come from the United States. While we have already had the ability to operate in many states because of our regulatory approval, we refrained from launching our exchange in the United States until we received the New York State Department of Financial Services BitLicense, both because of the prominence of the BitLicense as well as the relative importance of New York State to our business model. We received that license yesterday, and we look forward to bringing our exchange and our leading liquidity to the United States imminently, and we believe this to be the largest geographic market by far. We're also excited by our liquidity services offering, which provides digital asset issuers with subscriptionized liquidity, listing, visibility, and distribution. This revenue line has grown significantly in recent months, as you can see, including through various recently signed agreements that are not yet reflected in our financial results, such as our collaboration with Solana, which was initiated on July 1st, and agreements with various other stablecoin and digital asset issuers, including effectively now all of the calendar stablecoins. Our information services brand CoinDesk offers three primary services: CoinDesk Indices, which designs tradable benchmarks that track the performance of digital assets. Our flagship products CoinDesk 5 Index, which, in conjunction with Grayscale, has filed to become the largest multi-token ETF in terms of assets in the world, and CoinDesk 20, which tracks the performance of the 20 largest digital assets by market cap. Our indices anchor about $41 billion in AUM and over $15 billion of trading volume as of June 30, 2025. Our second service, CoinDesk Data, offers a comprehensive suite of subscription-based market data and analytics solutions that serves as a key resource for more than 11,000 institutional investors, professional traders, and industry professionals. Recently, we announced we hired Dave LaValle, a longtime industry executive, well-respected and well-known in the industry, to lead both the Indices and CoinDesk Data initiatives. Our third service, CoinDesk Insights, provides news on the digital asset industry, having reached a global audience of more than 80 million people last year and serving as host for the consensus conferences in Hong Kong back in February and in Toronto earlier in Q2. Our Insights business earns revenue from advertising, sponsorship, and events and serves as a critical cross-sell function for the rest of our business lines. Each of these three services: indices, data, and insights is growing due to our great leadership team, introduction of new products, and utilization of our broad reach to find new customers while cross-selling to our existing base. Dave will hit on a recent cross-selling success in his remarks. I'll now shift gears to highlight a few accomplishments and areas of focus for us. First, on regulatory approval, Bullish has pursued intentionally a suite of difficult-to-attain regulatory licenses from the most reputable Tier 1 regulators in the world to set us apart and prepare us for the institutional adoption wave. We already hold Type 1 and Type 7 licenses from Hong Kong SFC and a benchmark administrator license from the United Kingdom FCA. While we were previously grandfathered into EU's regulatory regime through our license with Germany's BaFin, our license was recently uplifted to full alignment, requiring no further need for grandfathering with the EU's MiCA regulation. Repeating our very recent good news, we were approved for the New York DFS' prestigious BitLicense yesterday. Throughout our positive communications with the team at New York DFS, we remained confident and optimistic in the impending approval of our application and are pleased to now share that we are licensed in New York. The BitLicense is infrequently granted and known for stringent application requirements. We believe this milestone is a testament to our ability to merge our innovative technology, including, among others, our automated market-making instruction, with the capability to operate within the parameters of a highly regulated environment. This caps off the completion of what we call, quote, the quad factor, which is the four toughest Tier 1 digital assets regulatory licenses in the world. We're looking forward to launching in the US imminently. Moving on to our liquidity services, this business continues to grow rapidly, and in recent months, we have entered into a collaboration with the Solana Foundation and many more liquidity services partners that are powering some of the most exciting projects in the space, including Pudgy Penguins, World Liberty, USDG, JITOSOL, Agora, Bomb, AllUnity, Bitpanda, and many more, and have deepened our already strong sales pipeline for the future. Our decision to accept our IPO proceeds in stablecoin was very well received by our partners, both existing and new. While we've managed now to add many of the sizable challenger stablecoin providers to our liquidity services client list, the addressable market of both new stablecoin entrants and non-stablecoin token issuers remains massive. Accordingly, we have a deep and growing pipeline of future opportunities. For our existing exchange operations, we are constantly optimizing our pricing. Starting in March of this year and stretching through Q2, we made several iterations to our exchange pricing. These optimizations included the adjustment of fees based on client type and client activity. This experimentation led to non-standard fluctuations in both our volumes and our typical spread rates. We believe that the fruits of this optimization strategy have really started to manifest in Q3. You can review our monthly KPIs currently accessible on our IR website to see that monthly spreads, and particularly volatility-adjusted spreads, are a good deal higher in the first couple of months of Q3 than they were in Q2. Shifting gears, we continue to make progress towards an anticipated full launch of our options trading platform in Q4 of this year. In fact, our options trading product is already live in production as part of a mobilization or beta phase where clients are trading, but just in a risk-limited manner and ring-fenced to only a select number of clients. I've been a part of many trading product launches in my career, including options trading product launches, and this one has all the hallmarks of a successful initiative so far. We will report back as we move towards full launch. It was a busy quarter for our information services business. In addition to the hiring of Dave LaValle, on the CoinDesk Indices side, we continued to add assets under management, ending the quarter with $41 billion of assets under management tied to our indices, an increase of more than $9 billion from Q1. We also launched exciting new products, including CDOR, CoinDesk's overnight rate, a benchmark interest rate for stablecoins. On the CoinDesk Data side, our integration of CC Data acquired in Q4 of 2024 is now complete, and we continue to regularly cross and upsell our customers. For instance, recently we signed a far more comprehensive CoinDesk Data contract with LSEG Refinitiv. We also continue to execute on the multi-products cross and upsell, including through a recently signed custom deal with Midnight. We also executed a very successful consensus conference in Toronto during Q2, where we welcomed more than 15,000 guests. While we loved our time in Toronto, the United States is once again the capital of crypto, and we look forward to hosting our 2026 North America conference in Miami on May 5th through 7th. Please join us. Finally, I'd like to discuss our U.S. launch. As I mentioned a moment ago, we have received the New York BitLicense. This was the last critical item for us to launch in the United States. What's next? From an activation standpoint, our team has already been pounding the pavement, building a pipeline of interested exchange customers, including asset managers, hedge funds, retail brokers, and more. In many instances, we can leverage our relationships with these very customers on the information services front to establish warm introductions and get them excited about the prospect of onboarding to Bullish. Our onboarding team and relationship managers have hit the ground running. We are also advantaged due to our global order book, a single global order book. Any U.S. client that onboards to our exchange will have access to our already existing global liquidity from day one, meaning there is no zero-to-one or cold start problem, and meaning that U.S. customers will instantly benefit from our best-in-class liquidity in crypto's largest asset. It is worth noting that our targeted customer base is institutional. Institutional clients do take some time to fully onboard to the exchange and begin trading. We are optimistic about the opportunity in the United States, and we believe it could fast become our largest trading market. That said, we wish to guide conservatively to volume expectations, particularly in immediately ongoing quarters, since it will take some time for clients to fully hook to our platform technologically and initiate trading at scale. Our receipt of the NYDFS BitLicense is an important milestone and positions us well. We're glad we have the opportunity to share this news with you folks today and look forward to addressing any questions about the license and our plans during Q&A. While there are several other highlights that I could address, including our recently launched investor trading competition, our IPO, or the impacts of accepting funds in stablecoins, or any of the exciting new CoinDesk 5 and CoinDesk 20 developments, I recognize that our prepared remarks are already pretty lengthy this time around, and I want to ensure we save time for Q&A. I'll stop here. I'll give Dave a chance to introduce himself, discuss our business model, review the quarterly results, and provide an outlook for the business. David Bonanno: Thanks, Tom, and good afternoon, everyone. Today, I'd like to walk you through our business model, the second quarter results, and provide some context on our operating performance. Financially, we are building Bullish around five core financial pillars that serve as our foundation for continued growth and drive our capital allocation framework. These pillars are organic revenue growth, diverse and complementary revenue streams, operating leverage, maintaining a well-capitalized, highly liquid, and uniquely flexible balance sheet, and finally, creating value through M&A for shareholders. The height of these financial pillars translates into our business model. As shown on page 10 of today's investor presentation, Bullish has a broad set of diversified and complementary revenue streams. While these various business lines each have their own revenue models, they all make money in familiar ways as described on the page. In particular, I'd like to call out our SS&O revenue, which includes liquidity services and all the CoinDesk brand of products inside of information services. Our SS&O revenue has grown to 45% of total adjusted revenue in the first half of 2025, up 28% from the full year 2024. This growth has been driven by significant new logo wins and cross-selling into our existing base of partners. On page 11, we feature several of Bullish's recent business highlights across the business. Tom already touched on most of these, but I'd like to drill down a bit more into how our cross-sell efforts are generating multi-product adoption across the Bullish and digital asset ecosystem. To do that, I'd like to highlight one extremely new exciting partner, Igloo Inc. As featured on pages 12 and 13 of our investor presentation, Igloo Inc. is the owner of the well-known Pudgy Penguins intellectual property and issuer of the PENGU Token. Igloo and Pudgy Penguins chose Bullish for multiple mission-critical subscription-based services during the third quarter that highlight the multiple ways that Bullish powers our partners' growth ambitions. Pudgy Penguins is a global Web3 IP-focused company onboarding new users to crypto through their globally recognized Pudgy Penguin character. Originally an NFT collection, Pudgy Penguins' IP and trademarks were acquired by serial entrepreneur Luca Netz in 2022. They have since become one of the world's most recognizable characters, with over 220 billion social media and gift views, more than 2 million toys sold across more than 10,000 global retailers, including Walmart and Target, and one of the most popular racing mobile video games in the Apple App Store, Pudgy Party. Today, the Pudgy Penguins NFT collections and PENGU Token have a combined market capitalization of approximately $3.5 billion. The toys include scannable QR codes to download a digital wallet with an NFT that can be used in their online properties and video games. Additionally, Pudgy Party is powered by an in-game blockchain-based marketplace for redeeming rewards and trading in-game assets. Igloo chose to partner with Bullish across several multi-year subscription-based products, including our liquidity services, CoinDesk Data, and multiple insights products, including our research and CoinDesk Edge. We are particularly excited about this partnership. We are bullish on the future of this promising team, and there's a clear line of sight to expanding the partnership by leveraging more of our CoinDesk Insights platform and Pudgy Penguins' strong ties to the Solana network and community. We look forward to sharing more developments with you here in the future. Turning to our adjusted second quarter results on page 14, you can see we closed the quarter roughly in the middle of all the previously provided ranges. Reconciliations of our non-IFRS metrics can be found in the back of today's presentation, as well as our 6-K filed earlier today with the SEC. Digging in a bit more into our adjusted operating results, as shown on page 16, the second quarter was shaped by historically low BTC price volatility, which led to lower market-wide digital asset trading volumes. Against these headwinds, we delivered record quarterly subscription service and other revenue, which helped to partially offset the lower trading activity, leading to total adjusted revenue for the second quarter of $57 million, down 8.7% sequentially and 6.1% year-over-year. Adjusted operating expenses for the quarter were $48.9 million. As seen on page 17, employee compensation expenses were $25.7 million, down 13% sequentially and 3% year-over-year, and we expect quarterly employee compensation expense to remain broadly at this level going forward. Additionally, I'd also highlight Q2 advertising and promotional costs of $7.4 million. This largely consists of consensus events variable expenses driven by our North American consensus events in Toronto. Adjusted EBITDA was $8.1 million, down 39% sequentially and 45% year-over-year as Q2's lower adjusted transaction revenue flowed through to the bottom line. Now, I'd like to turn to our Q3 guidance for adjusted operating results. We expect total adjusted revenue to be in the range of $69 million-$76 million, with adjusted transaction revenue between $25.5 million and $28 million, and subscription service and other revenue between $43.5 million and $48 million. We anticipate Q2 adjusted EBITDA between $25 million and $28 million, and adjusted net income between $12 million and $17 million. Going forward, we intend to provide guidance on a quarterly basis for adjusted operating expenses and SS&O revenue. Our monthly reporting for spot perpetual volumes and spreads should allow investors to see our performance at the exchange level on a regular basis. Thank you for joining us today. We look forward to the questions, and with that, I'll turn it back to Tom. Tom Farley: Thanks, Dave. We're thrilled to be able to share some of our accomplishments, our latest plans with you all. Q2 was a strong quarter, and the groundwork we've laid in Q2 should position us well for Q3, Q4, and beyond. With that, I'll pass it back to the operator to help facilitate Q&A. Operator: As a reminder, if you'd like to ask a question, please press star, followed by the number one on your telephone keypad. Your first question comes from the line of Ken Worthington with JPMorgan. Please go ahead. Ken Worthington: Hi, good afternoon. Thanks for taking the question. Congrats on the IPO, congrats on the BitLicense, congrats on the strong liquidity and subscription services numbers. My question goes to that liquidity and subscription services line item. You're guiding to sort of mid to high $40 million range for 3Q. If we look at 2Q, how many tokens were part of liquidity services at the beginning of the quarter, and how did it end the quarter? As we think about 3Q, where does that number grow to? Tom Farley: Hey, Ken. Thanks, and good to speak to you again. Yeah, that business kind of jumps out at me as well because it is really growing nicely. If I can just expand a bit and explain for the broader audience kind of what it is. What this business is, if you're a stablecoin issuer or a non-stablecoin token issuer, and Dave gave a couple of examples of non-stablecoin token issuers, you really need to have your product listed. Not just on Bullish, you need to have it listed in a number of different places to ensure that there's appropriate liquidity. You need to make sure that there is appropriate liquidity. If you just list your product somewhere and there's no bids or offers, it's a tree falling in the woods. You need to be able to have some level of visibility for your product. Advertising, or you need to be on stage at an industry conference, or you need to have research written on your token. When you look around and you say, geez, who can give me all of those? We like to think it's really just us. If you look around and you say, who can give me all those and who can do it with an institutional-grade wrapper that's credible and compliant, it's certainly only us. I suspect that's what's really driving it. To give you a little bit of a directional answer without necessarily giving you the specifics about, hey, we had this many in this quarter and that many in the following quarter, because we've not disclosed that level of detail, I will say it has accelerated rapidly throughout this entire year. I think a lot of it is just the groundswell of regulatory clarity all around the world. Everybody knows the rules of the road, so they're willing to kind of push the chips in the middle of the table, and they're willing to make these kind of long-term commitments to someone like us to pay us, in many cases, maybe even most cases, seven figures a year for this sort of subscription. Regulatory clarity is really helping us, and the growth has accelerated Q1 over Q4, Q2 over Q1, Q3 over Q2. I'll hand it over to Dave. David Bonanno: Yeah, Ken, I would just note that in the third quarter guidance we provided, it's important to note that that is the beginning of the Solana contract. That is a large collaboration for us. There's a lot to do for us there. Additionally, the additional proceeds from the IPO do carry some return on them, so that's going to influence the third quarter guide as well as those assets came on the balance sheet around mid-quarter. I just echo what Tom said. It's been a rapidly compounding line item for us. It's the bedrock and the balance head for the cross-sell efforts, and it's the growth of just the individual logos being amplified by the additional products and services that we're able to sell into our new partners and existing partners. Ken, you may remember from our first conversations, we were certainly excited about this business, but not overly so, because we ourselves wanted to make sure there's product-market fit, and we wanted to make sure that the customers were getting even more value out of it than we were receiving in the subscription fees. That's exactly what's happening. We're hearing from customers that it's driving liquidity, it's driving credibility, it's helping them with their projects, and that word of mouth has really accrued to our benefit. Ken Worthington: Thank you. Maybe thinking more about the outlook for that line, I suspect that the passage of the GENIUS Act sort of pulls forward a bunch of the stablecoins to kind of subscribe to your services. What does the pipeline look like going forward for that? Have you basically locked up all of the major new stablecoins, and is the growth that you're seeing maybe beyond 3Q and 4Q of this year comprised of, you think, more stablecoins, or is the growth as we look forward really expanding into non-stablecoin tokens? You know. Tom Farley: I appreciate that question, and perhaps oversharing, we actually had a version of our script, Ken, that we were working on that said we have, as customers, substantially all of the challenger stablecoins. I tweaked it because we're seeing new stablecoin entrants appear literally every single day. At one point, really around the time of the IPO, we looked out and we said, okay, let's look at our stablecoin partners, you know, PayPal, and I assume I can say these names, AgoraX, which is VanEck, and Ripple, and really great USDG, World, and so on and so forth. We kind of had this really great group. It begs the question, is this just a one-time burst of stablecoin issuers on the back of the GENIUS bill? Will it continue to grow? Will it consolidate? Will it not? I think that's an interesting industry question. Dave and I, as you've heard us say, have always believed it will continue to grow, and this is a thousand flowers blooming, and this will be a highly competitive industry. In the last week, I'll just give you two anecdotes. I got a call on Monday from an old friend from my NIBOT days, who you would know, Ken, saying, I'm launching a new stablecoin. I want to talk to you about it. I want to work together. I got an email immediately before this earnings call saying, I'm launching a stablecoin, and I want to work with you, from also an old friend, one of my closest friends in the world. The answer is the current pipeline is heavier on non-stablecoin token issuers. In other words, if we look at the current pipeline, and if I just say, hey, give me the 50, most likely more than 25 are non-stablecoin token issuers, but the stablecoin issuers just keep popping up, and the product-market fit that we offer is highly, highly compelling, which is why we had literally essentially all of the challenger stablecoins at one point in time. Did that answer your question, Ken? I know it was a little bit long-winded. Ken Worthington: Thank you very much. You answered it well. Tom Farley: Yeah, Ken, yes, Ken Worthington: congratulations. Operator: As a reminder, ladies and gentlemen, we ask that participants limit themselves to one question. Your next question comes from the line of Peter Christiansen with Citi. Please go ahead. Peter Christiansen: Thank you. Good evening. Thanks for the question. Certainly, congrats, Tom and team. It's been quite a month or two here, and certainly great to see the BitLicense being awarded. That's fantastic news. I was wondering, Tom, maybe is there like an analog that we should think of in the back of our head? Obviously, who knows what's going to happen over the next year and a half as the U.S. institutional sector hopefully starts opening up. An analog in terms of sales cycle to sign up an institutional sized account, time to implement on the back end, that kind of thing. As you think about time as cross-sales start coming after volume starts building up, I don't know if you've seen a steady schedule among some of your existing client engagements that might be helpful to us. I am going to throw in one last one here. I did notice the $10 million trader challenge promotion, which seems... How should we think about this, I guess, in marketing and selling expense going forward? Just thoughts on that. Thank you. Tom Farley: That's great. Thanks, Pete. Yeah, I'm going to let Dave address the trader challenge. Just in terms of the sales cycle, I think Pete's question is specifically about our U.S. launch. Again, for the avoidance of doubt, we've never brought on a U.S. customer. All of our customers are non-U.S. The BitLicense unlocks the U.S. as a market. Effective today, we now can enter the—actually, I think it's effective Monday. We can enter the United. Pete, unfortunately, if you look at our pipeline right now, it's filled with companies that have, you know, the word bank in their name or financial or investments. It's a more mature kind of white shoe set. The truth of the matter is it takes a while to hook them up. That's why I added that to my prepared remarks. A while can range from, you know, two months, and that's if somebody has a legal team that acts with the alacrity and let's say they're using someone to help connect them to trading in crypto, to quite literally six months if they're going to do all the connectivity to the APIs themselves, they're going to heavily negotiate the legal doc. The good news on our end, Pete, is we have been able to, because we have regulatory approvals throughout the U.S., just not in New York until yesterday, we have advanced discussions and an advanced pipeline. I think it's going to take a little while to see the first couple of customers come on board. If we don't start to see it in the next month or two, I can tell you I'm going to have some hard conversations internally because we have invested in a team that's been out building the funnel. I hope that gives you a little bit of color, but that kind of gives you a sense of what to expect. Peter Christiansen: Thanks, Pete. I think your second question, you broke up a little bit there, was related to the trading competition we announced. The prize is an up to $10 million seed investment in their fund. We're not just giving away the money. It's promotional rewards. We really like this type of activity. It's our first time engaging in it. What we've seen in terms of new customer onboard interest in participating in the program, our ability to push our data and its availability into new user bases who can then come trade on exchange, and maybe they get a fund one day and they can benchmark to our CoinDesk Indices products. The general idea behind it was exposing a different customer segment to our cross-sell potential, and we're really excited about it. Tom Farley: The $10 million is not a payment. I mean, it's an investment. We're excited about it. Next question, please. Operator: Your next question comes from the line of Dan Fannon with Jefferies. Please go ahead. Dan Fannon: Thanks. Good evening. Congrats. Wanted to talk about customer concentration. You guys mentioned how you've been adjusting some of the pricing for your various customer bases. Curious how that's evolved. Maybe talk about 3Q and how that's progressed. Ultimately, do you think you're done here, or is there some more tweaking when we think about pricing going forward that you still likely need to make? Tom Farley: Oh, man, the tweaking never ends, Dan. I wish it did. I mean that as a career-long commentary. I remember when we introduced electronic trading to the New York Board of Trade in February 2008, and you know, GetGo and Hudson River Trading were 50% of our volumes. It's a very common thing in markets where you'll see a certain number of customers that amass a significant amount of the volume. It's okay. It's something that we fiddle with currently. Dave and the team have actually done a great job of bringing that down to a reasonable level over the last several quarters. David Bonanno: Yeah, and Dan and I just commented the pricing changes we've made, which you can see the impact of that in the monthly operating results we provide. We're pleased with the outcome. If we continue to have some customers who are heavier in terms of concentration, we are okay with that in the relative new pricing framework. Having had a flat pricing fee, which created significant customer concentration, was not going to be a winning solution for us long term. We're happy with the pricing changes, the way it's diversified the customer base, and the way it's spread out the fees across activity levels, customer type. While we may continue to have a couple customers who are heavy at the top of the book in terms of volume, we're comfortable with that in the current pricing framework than we were previously. Operator: Your next question comes from the line of Brett Knoblauch with Cantor Fitzgerald. Please go ahead. Brett Knoblauch: All right. Thanks, guys. Congrats on the IPO. Tom, it seems like you're itching a bit to talk about CoinDesk 5, CoinDesk 20. It's nice to see the quarterly increase in kind of AUM tracking your indices and benchmarks. How should we think about the progression of maybe the asset linked fees going forward? Is there any catalyst on the horizon like a CoinDesk 5 ETF that could really accelerate some of those flows? Just more broadly about the indices business would be great. Tom Farley: Yeah, no, you sensed correctly, Brad, and you may know from our past conversations, but I love this business. That $41 billion of assets under management benchmarked to our indices, to be clear, we're getting paid fees on the whole of that $41 billion. The way it works in the multi-token index world, or even the single token index world, is you're talking about a small number of basis points. When you run the math of the $41 billion times, you know, a small number of basis points, it's a nice business, but it's not huge. You're asking the absolute right question, which is what's going to cause this to really grow? What's going to enable us to be the MSCI of crypto, if you will? Essentially, what's happened in crypto, if I can cover a decade of history in 30 seconds, is the first thing people were willing to invest in from an institutional perspective was Bitcoin, and that really compounded with the introduction of the Bitcoin ETF. With the ETH ETFs, people were willing to say, okay, I'll have a little Bitcoin exposure, and then I'll have an even smaller amount of ETH exposure as part of my overall portfolio. Now what we're seeing with Solana ETFs and other tokens, XRP, for example, Cardano, Avalanche, becoming more mainstream, people are looking for broader sets a la the DAO or the S&P 500 or MSCI's Emerging Markets Index or something to be able to invest in a broader swath of the market while maintaining Bitcoin as their primary way to invest. We have the CoinDesk 5, which is quite literally five tokens, and the 20, which is 20, covers a broader market to really be a catcher's net for both of those, for that trend that people move out the curve, first to the CoinDesk 5, then to the CoinDesk 20. They're going great. This Grayscale private trust vehicle, which, you know, touch wood, can we hope will be approved by the SEC to convert to an ETF, will be the largest multi-token ETF, I think, in the world on day one at a minimum, quite possibly. CoinDesk 20, we have a WisdomTree ETP in Europe that is gathering modest amounts of assets, inflows on a regular basis. That too is exciting. We have signed but not announced the particulars with a major global futures exchange as well as a major global major U.S. equities exchange to launch products on the CoinDesk 5 and CoinDesk 20 on those respective exchanges. We have a signed but not fully announced ETF arrangement in the U.S. for those products as well. It's going to take some time, Brett, because the market needs to get more comfortable investing in more products than just Bitcoin. It's happening in real time, and we're there for it. Operator: Your next question comes from the line of Brian Bedell with Deutsche Bank. Please go ahead. Brian Bedell: Great, thanks. Thanks for taking my question and congrats on everything as well. Just a bit back to liquidity services and particularly the stablecoin side. I'm just trying to get a sense of the, given the onboarding of these contracts, sort of that growth trajectory potential beyond 3Q. Maybe just to clarify, it sounds like the guide of the $45+ million for that for SS&O, I guess $40+ million of that is liquidity services, indices, and data. Applying a doubling roughly of, I guess, the second quarter run rate, how much of that additional growth is directly related to liquidity services from stablecoin? I guess, back to the first part of the question, which is, given the really strong market potential here with adding more challenger stablecoins, how should we think about that revenue growth potential? David Bonanno: Yeah, sure. Thanks, Brian. The growth is all the segments within subscription services and other revenue. All the business lines in there are growing, as Tom mentioned before. All of them are growing organically. They feed off of each other. The primary driver of the revenue growth that we discussed for Q3 is largely on the back of liquidity services. In terms of the revenue complexion, we spoke a little bit earlier about the pipeline and the outlook for the mix between stables and non-stables, but currently the revenue complexion is definitely weighted towards the stables. I include our work with the Solana Network in that bucket as well, because, as you know, it's a stablecoin-based collaboration. Although they don't issue a stablecoin, it's with our partners that we work with the Solana Network to move those over and generate other activity and acceptance on the Bullish Exchange. It is predominantly driven by the liquidity services, again, that is the bedrock for selling other recurring revenue streams into the customer base. Brian Bedell: Just that sort of growth trajectory, I guess, as we, not to give guidance in 4Q, but it sounds like it would be, the way you're layering in these deals, we would have even more uplift in 4Q potentially in that area. David Bonanno: We continue to see strength. We do expect to see growth in the fourth quarter of that line, just based on the booking trajectory and where we are in the third quarter. The growth in the line has been pretty substantial this year in terms of sequential growth. The Q3 guide, I wouldn't interpret that as this pace of growth well into the future. We look forward to kind of giving you the guide on Q4 subscription services and other on our next call, but we do continue to see growth in all of the product areas. Operator: Your next question comes from the line of Chris Brendler with Rosenblatt Securities. Please go ahead. Chris Brendler: Hi, thanks for the afternoon. It's a conversation for me as well. I'd like to discuss the monthly metrics and kind of the uptick we've seen in the spread over the last couple of months, especially in August. If you just give us a little color, we've talked about some of the pricing changes you're implementing, just the sustainability of that and how it looks into your guidance and into the fourth quarter would be great. Thanks. Tom Farley: Yeah, let me just editorialize for one moment, and then Dave can give you the real answer. The one thing I wanted to highlight is, because in crypto, a lot of people focus on spread in part because amongst the retail group, so electronic brokers serving the retail crowd or exchanges serving the retail crowd, they oftentimes will have 50 basis points, 100 basis points, 150 basis points, 200 basis points, 250 basis points, 300 basis points spread. We've all seen that movie of what ultimately happens to those kind of spreads, whether you look at what happened in FX or equities or what have you. We're in a different world. We don't compete on price. The institutional group, you got to get to a fair value price, and then you're competing on determinism, you're competing on what other services you provide, or what margin capabilities do you have, what licenses do you have, how reassuring is your custody solution, all those sorts of things. As we're moving our spreads around, what we're really doing is optimizing for revenue. We run experiments a lot. That is something that is going to continue. What we have found is a nice sweet spot where we kind of had overcorrected pushing for revenue, and really what we got out of it was volume and less revenue. Dave and the team, led by Chris Tyrer, President of our exchange business, have done a really nice job of finding a sweet spot over the last several months that we feel comfortable with. David Bonanno: Yeah, I think you'll see in the Q3 guide, the September implied spread, if you kind of run out the math and you can see the volume, is about consistent with where we were in August, but a little bit lower just based on lower volatility. I would say that while our spreads have gone up and volatility just didn't matter versus where we were previously, we still have some sensitivity to volatility. We'll just spend a bit lower here in September than it was in August. We do think that from a spread perspective, you'll get a good feel of where we should be, particularly when we get out the September results. Tom Farley: I just want to add one item. I said earlier when Brett asked the question, and thanks for asking it, Brett, about our index business. I told you I was excited, among other things, about a Grayscale product on our CoinDesk 5 Index. That has just been, during this call, approved by the SEC. That product, which, I don't know, it approaches $1 billion of assets under management, which, by the way, is huge for a crypto multi-token product, will become an ETF here in the U.S. and will likely be the largest ETF in the world on day one. Very exciting news and really good for that CoinDesk 5 franchise. Brett, to answer your question, how do we grow the thing? We just chop some wood. We'll take the next question. Operator: Your next question comes from the line of Rayna Kumar with Oppenheimer. Please go ahead. Operator: Hi, this is Guru on for Rayna. A lot of her questions have already been answered, but if you could just maybe touch on how we should expect the spread going forward. I know this is directly following the previous question, but if you could maybe just give us a trajectory of what we can expect going forward. Thanks. David Bonanno: Yeah, sure, and thank you for the question. As I was saying on the previous question, we expect spreads going forward to be roughly in line with the August numbers. They remain somewhat sensitive to volatility. September volatility has been lower than August when we put out the results and we finished the month of August. We're only about halfway through here. We think you'll see, depending on the full month volatility, consistency if the volatility is the same with August, slightly lower if volatility is lower, and obviously higher if volatility is higher. The reason we're doing the monthly disclosure on the transaction revenue spreads is to provide this type of clarity for you guys to see it in as real time as possible. We do optimize for total adjusted transaction revenue, as Tom mentioned before. We're also launching new products like options, which hopefully will be coming during the fourth quarter. That may induce us to adjust spreads in other assets in order to maximize total adjusted transaction revenue. Given all the moving parts in there, the dynamics around volatility, we believe the best way we can help you guys begin to tighten up your models is to do the monthly disclosure that we've been providing and then talk you through the trends as we go here. As of right now, we generally tend to view August as a good benchmark type month for the spot spreads going forward. Operator: Your next question comes from the line of Bill Papanastasiou with KBW. Please go ahead. Bill Papanastasiou: Good evening, gentlemen. Congrats on the inaugural earnings call and strong sequential SS&O revenue print. With respect to the BitLicense, obviously the grant of it helps to firm up timelines of penetrating the U.S. market. I was curious whether we should be thinking about any other additional read-throughs. In particular, I saw that the license allows for custody services in addition to trading. Is that an area that perhaps Bullish might be thinking of getting into down the road? Tom Farley: Yeah, sure, Bill. Good question. We actually are in custody, the provision of custody. We've taken a thousand flowers bloom approach where we enable our customers to custody with third-party qualified custodians, or in some cases, self-custody using software, or custody with us and our own bespoke custody solution. To answer your question, yes, but only in the sense that we're already in custody. We're not announcing any sort of mega changes to the business model with this BitLicense approval. We do have a few things in the works that we're not really ready to drop breadcrumbs around, but no extensive business model changes with respect to custody. Operator: Our last question comes from the line of Joseph Valve with Canaccord Genuity. Please go ahead. Joseph Vafi: Hey guys, good afternoon, and of course my congrats here as well. Maybe we just kind of double-click a bit on progress on the options platform. I know, Dave, you just mentioned it a little bit. Looks like maybe Q4 full rollout. Any other anecdotes there? Plus, you know, is it too early to really start thinking about what, you know, contribution may be there, might be, you know, from a full rollout in trading volume? Thanks a lot. Tom Farley: Great question. It's a meaty last question. We'd love to talk about it. First of all, let me start on a conservative note. It's a startup. It's a startup, so no promises. It's hard to build derivatives volume, no matter what market you're in. You should hear it from us that you should view this conservatively. Nonetheless, we're really excited about it. We're already live. Like live live, not fake live. People are in there trading real dollars in a regulatorily approved environment. It's working. Some of the biggest options traders on Earth are in there every day. We're limited to a certain number of customers. We want to get it right. We're limiting those customers to a certain size of their position. Looks good, and that's often the tough part, just getting off the ground with a system that works and an initial batch of customers. With respect to options, options have been this kind of tiny market in crypto, like teeny tiny, a couple of percent volumes relative to the overall spot volume. We made this bet, and we made it, I remember talking to Dave and Chris Tyrer about this a year ago, where we said it's got to grow up. It's got to grow. Every market you look at, the options market is minimum 25%. Look at U.S. equities, 25% or greater. Look at interest rate options, really, really easy market to get data on. More than 25% options as compared to the linear products. We just said this thing's going to grow, and there needs to be competition, and there needs to be institutionally focused competition, low cost, that has things like portfolio margining with the underlying futures, the underlying hedge. Let's go ahead and let's do it. We're being rewarded. In August, we saw options volumes in crypto tick up. In fact, they nearly doubled, or maybe even more than doubled, as a percentage of the overall spot volume. We're seeing the underlying options market grow. We're seeing customers come in and work with us on our beta launch here. We're going to share a lot more information with you on the calls ahead. Like I said, I put in my prepared remarks, I've been involved in a lot of launches, some real good ones, some losers, and you get a sense of what makes a successful launch. This one has all the hallmarks of something that could work out nicely for us. Operator: Ladies and gentlemen, there are no other questions at this time. I'll turn the call back over to management for closing remarks. Tom Farley: Sure. Thank you. Also, I want to thank our team, Liam and Michael, who got us prepared. We definitely had the jitters a little bit. It's our first earnings call. Randy, if you're out there, you polled us, whatever you do, you better not blow it on your first earnings call. I hope we at least get a passing grade. We appreciate all of you staying for what those of you on the East Coast, it's something like dinner time. You know, our commitment to you is we're going to do our best to be in touch with you, not just during the earnings calls, but in the interim, and be transparent with you about the success or lack thereof of this business. We really appreciate you following along. Just rest assured, we're working our butts off for certainly for our customers, but also for our shareholders. Thank you all very much, and good night. Operator: Ladies and gentlemen, this concludes today's call. Thank you all for joining, and you may now disconnect.